Operator: Greetings and welcome to Urban Edge Properties Fourth Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jennifer Holmes, Chief Accounting Officer. Thank you. You may begin.
Jennifer Holmes: Good morning and welcome to Urban Edge Properties fourth quarter earnings conference call. Joining me today are Jeff Olson, Chairman and Chief Executive Officer; Mark Langer, Chief Financial Officer; Chris Weilminster, Chief Operating Officer; Danielle De Vita, EVP of Development; Herb Eilberg, Chief Investment Officer; and Rob Milton, General Counsel. Please note, today’s discussion may contain forward-looking statements about the Company’s views of future events and financial performance, which are subject to numerous assumptions, risks, and uncertainties and which the Company does not undertake to update. Our actual future results, financial condition and business may differ materially. Please refer to our filings with the SEC, which are also available on our website for more information about the Company. In our discussion today, we will refer to certain non-GAAP financial measures. Reconciliations of these measures to GAAP results are available in our earnings release and supplemental disclosure package in the Investors section of our website. At this time, it is my pleasure to introduce our Chairman and Chief Executive Officer, Jeff Olson.
Jeff Olson: Great. Thank you, Jen, and good morning, everyone. We are pleased with our fourth quarter results. FFO as adjusted increased to $0.27 a share, up 15% compared to prior year, driven by a 16% increase in same-property NOI, including redevelopment. We also announced a 7% increase to our quarterly dividend to $0.16 per share, based on our expected performance in 2022. The open air retail sector continues its upward trajectory, especially throughout our portfolio of well-located properties in markets with high population density. We executed record leasing volumes in 2021 with 678,000 square feet of new leases, any 10% cash rent spread. We increasing property leased occupancy to 94%, up 250 basis points compared to prior year and up 120 basis points compared to the third quarter. The gap between our leased versus physical occupancy in our same-property pool is now 380 basis points. Getting these new tenants open is a top priority and will be a significant contributor to NOI growth. In total, we have $22 million of future gross revenue coming from executed leases not yet rent commenced, which represents approximately 10% of our current NOI. Our leasing pipeline is robust, with over 1 million square feet of space under negotiation, putting us on track to achieve same-property leased occupancy of 96% by the end of 2022. Recall, our occupancy averaged 98% from 2015 to 2018, and we expect to reach that level again. Our fourth quarter leasing activity includes two exciting future additions to Bergen Town Center, Kohl’s and Hackensack Meridian Health. Kohl’s is relocating one of its top performing stores to open a flagship location at Bergen. Hackensack Meridian Health, the largest health care organization in New Jersey executed an 80,000 square foot lease for a new medical office building to be built on a vacant land parcel. We are advancing our redevelopment pipeline, with $219 million of active projects up 81 million since last quarter, expected to generate an 8% unleveraged yield. Further upside is expected from leasing surrounding vacant space, securing higher rents from adjacent tenants and from achieving cap rate compression. Our redevelopment projects are relatively straightforward, lower risk, anchor repositioning investments having an average cost of $10 million and where we have executed leases on nearly 90% of the incremental NOI. Our development team is doing a great job opening projects on time and within budget considering the inflationary pressures and supply chain challenges we are all facing. Once we complete our redevelopments underway, nearly 60% of our portfolio value will have under undergone a substantial repositioning since we spun from Vornado. The durability of our rent role and cash flows is much stronger today than it was seven years ago. Spaces previously occupied by Kmart, Toys “R” Us, National Wholesale Liquidators, Century 21 and other vacancies have now been replaced with tenants such as ShopRite, Amazon Fresh, Uncle Giuseppe’s, Aldi, Marshalls, Burlington, Kohl’s, and the conversion of a large retail box into industrial. The strength of these anchors provides the catalyst for shop leasing, as evidenced by the 240 basis-point increase in our shop occupancy over the past year to 83%, which we believe can be meaningfully higher as we execute our leasing plan. Transforming assets at this scale takes a deep bench of talent in the balance sheet to support it. We are proud that we have both. A key component of our growth strategy includes acquiring high quality infill real estate with attractive in-place cash flow and future growth potential. In December, we acquired Woodmore Towne Centre, a 712,000 square-foot open air center in Glenarden, Maryland, for $193 million, providing a leveraged return of approximately 11%. The property is 97% leased and features a strong tenant lineup, including Wegmans, Costco, and Best Buy. This asset is an integral part of the surrounding community, and we believe we can improve merchandising and operations over time to enhance tenant sales and grow rental revenue. Overall, we feel great about the current state of retail, the leasing and development progress that is underway, and our ability to grow our platform through quality acquisitions. I am proud of our team who has demonstrated resilience during challenging times while working cohesively to execute our strategic plan. We are excited to welcome our newest Board member Norman Jenkins. Norm brings over 25 years of experience in the real estate industry, and currently serves as the President and CEO of Capstone Development. Finally, as part of our continued effort to increase communication with the investment community, we plan to host quarterly earnings calls going forward. I will now turn it over to Chris Weilminster, our Chief Operating Officer. Chris?
Chris Weilminster: Thank you, Jeff, and good morning, everyone. I am proud of the record leasing volume the team achieved in 2021 as we leverage strong demand, and the quality of our real estate to execute transactions with best-in-class retailers. Our leasing success in 2021 has set the stage for a strong 2022 as the momentum of retailers just remains robust. Our current active deal pipeline consists of more than 100 deals on over 1.3 million square feet at spreads exceeding 20%. We continue to see strong interest from any retailer categories including grocers, soft goods retailers, general merchandise retailers, wholesale clubs, home improvement, health and beauty retailers, medical, restaurants and fitness operators. The leasing team has done a fantastic job leveraging our relationships with these expanding retailers to complete transactions with an acute focus on choosing operators that will improve the overall merchandising mix at our properties. We are pleased to see that our customer traffic throughout the portfolio is back stronger than ever with an increase of 19% compared to 2020, and 4% over 2019. We recently analyzed geofencing data for our top 25 tenants to gauge the frequency of visits at our properties. The quality of our locations was evident. Our retailers within our properties ranked in the 74th percentile compared to their national portfolio locations, based on 2021 visitation per credit intel. This confirms the strength of our portfolio, reflecting a dense, active population base around our properties. In the fourth quarter, we completed transformational deals at Bergen Town Center, the Shops at Bruckner and Briarcliff Commons. At Bergen Town Center, Kohl’s will backfill 134,000 square feet of the space formally occupied by Century 21. Kohl’s will carry a full assortment of merchandise, complementing the dynamic anchor and specialty soft goods mix already existing at the property. Hackensack Meridian Health, the largest healthcare network in New Jersey, has signed at least to occupy a new 80,000 square-foot medical office building that will be constructed along Route 4. Hackensack Meridian will offer complete range of medical services, innovative research and life-enhancing care at this facility. We are also working for approvals for a standalone residential project for approximately 500 units, which we are considering monetizing through a sale or a joint venture. At the Shops at Bruckner, Aldi will occupy 22,000 square feet, further strengthening the property’s existing mix of Marshalls, Old Navy, GAP and Five Below with the desirable grocer that will attract consistent daily customer shopping trips. At Briarcliff Commons, Uncle Giuseppe’s held its grand opening to much fanfare and long lines in January. Uncle Giuseppe’s occupies 42,000 square feet and brings its specialty Italian marketplace to Morris Plains community. The addition of Uncle Giuseppe’s to Briarcliff Commons has been a catalyst to secure retailers, such as First Watch, Skechers, Chop’t, CityMD, and Crumbl Cookies. We also have redevelopment projects underway on grocer anchors at Huntington Commons, Hudson Mall, and Broomall Commons. These grocers will enhance the value of these properties and will stimulate leasing activity for vacant space and drive rents higher for our renewals. Once completed along with grocers in negotiation, nearly 70% of our portfolio by value will have a grocery component. The status of Kmart and Sears leaseholds we acquired in October ‘21 are as follows. At Bruckner Commons, we continue to pursue two options. We are negotiating proposals with highly relevant national credit retailers that will backfill the existing 180,000 square-foot Kmart box; and we continue to study the feasibility of other uses. At Montehiedra, we are actively negotiating leases with three tenants to backfill the 108,000 square-foot space. 60,000 square feet will be leased to a local multi-store grocery operator, 28,000 square feet to a nationally recognized soft goods discount retailer expanding on the island, and 18,000 square-foot state-of-the-art medical service provider. We anticipating executing these leases in the second and third quarter of 2022. The 200,000 square-foot Sears box at Sunrise Mall is not being marketed as the space will be part of the mall’s redevelopment. Turning to consumer behavior and new shopping habits in a post-COVID world, our retailing partners continue to stress the importance of open air centers and physical locations as a necessary part of their operating ecosystem. We continue to work with retailers to facilitate convenient customer pickup areas for delivery of goods and for in-store fulfillment operations. Retailers are in the early stages of figuring out how to maximize the operating efficiency of their physical space, and UE is focused on providing property level flexibility to embrace these ideas. As mentioned, the Urban Edge team is extremely focused on driving portfolio occupancy to 96% this year and higher thereafter. Mark?
Mark Langer: Thank you, Chris. Good morning. I will focus my comments today on three areas: First, highlighting our results for the fourth quarter; second, providing data points that will be helpful to gauge future NOI and FFO; and third, discussing our balance sheet and liquidity. First, in terms of our earnings, we reported FFO as adjusted of $0.27 a share. Same-property NOI growth was 14% for the full year, including properties and redevelopment and increased by 15% in the fourth quarter compared to the fourth quarter of the prior year. Fourth quarter base rent collections were 99%, up from 98% reported during the third quarter. In addition, we have collected 98% of all deferral payments we are due, pursuant to agreements made with tenants during the pandemic. These collection levels are a testament to the strength of our tenancy and the outstanding work our collections team has done to ensure we are carefully pursuing both current and past due balances. We have provided a detailed summary of collections on pages 32 and 33 of our supplement, where we note that approximately 7% of our ADR remains on a cash basis, down from 11% in the third quarter, based on the collection trends over the past 12 months. In terms of items impacting future NOI and earnings growth, I think it is helpful to note the following. The biggest driver of growth comes from our leased, but not commenced pipeline that Jeff highlighted, which currently consists of $22 million of future annual gross rent. We added a table in our supplement which highlights that approximately $6 million of this revenue is expected to be recognized this year, primarily weighted to the back half of the year. An additional $10 million of annual gross rents will commence during 2023. Other tailwinds include occupancy gains, contractual rent bumps and renewals that are expected at higher rents. Headwinds pertain to the expected year-over-year change in bad debt levels net of reversals. In 2021, our same-property bad debt was actually a net credit of $200,000 due to collections on amounts previously reserved. Our internal forecast for 2022 assumes that bad debt reverts closer to pre-COVID levels of 75 to 100 basis points of gross revenues. Let me add some context to the range of potential bad debt reversals we may recognize this year. First, we disclose having $3 million of remaining COVID-related deferrals for tenants that are on a cash basis at year-end, which have a future payback of about 30 months. If our collection rate continues at 98%, this should provide $1 million of benefit this year when received. In addition, we have gone through our remaining accounts receivable reserves, with a focus on those pertaining to COVID to assess the actionable pool of likely collections and reversals, and think there could be an additional $1.5 million to $3.5 million of upside this year. The actual level and timing is difficult to predict. And given the nature and complexity of litigation that many of these are in, we are currently budgeting the lower end of that range. In terms of lease roll in 2022, we feel very good about the renewal and options that will be taken on the vast majority of space. There are four tenets greater than 10,000 square feet that contribute about $4.7 million of annual gross revenue that we expect to vacate, which will create a $3 million drag on NOI in 2022 based on the expected timing of their departures.  In addition determination of the Kmart leases that were executed at Bruckner and Montehiedra, in October, create an additional $4.5 million to $5 million NOI drag in 2022 compared to the prior year. All-in, considering both the headwinds and tailwinds I have described, and accounting for more insignificant changes related to recoveries and operating expenses, our expectation is that same-property NOI growth will be positive in 2022. In terms of our balance sheet and liquidity, we ended the quarter with total cash of $220 million and have no amounts drawn on our $600 million line of credit. We are currently in the process of refinancing our two mortgages coming due during the year, which aggregate only $82 million. We intend to use our cash to fund our development pipeline and to deploy for acquisitions. Given the year-end timing of our Woodmore acquisition, which we funded with $77 million of cash and a new $117 million 10-year nonrecourse mortgage at 3.39%, our annualized fourth quarter net debt to EBITDA was elevated. Pro forma for the income from this acquisition and the future income coming on line from leases signed but not open, we expect net debt to EBITDA to get back in the 6.5 to 7-time range. We are comfortable with this range given the nature of our debt structure, which consists of 100% single asset nonrecourse mortgages. In closing, I think it is fair to say, we feel very good about our growth prospects. The strength and quality of our cash flow has been dramatically improved over the past couple of years, as bankrupt tenants have been replaced with strong credit operators, consisting of both, leading national and regional brands. Our top 15 tenants today have a weighted average S&P credit rating of BBB plus. The repositioning and redevelopment work Jeff and Chris have described combined with a record level of activity in our leasing pipeline gives us great confidence that the intrinsic value of our real estate will be reflected in meaningful NOI, FFO and cash flow growth in the years ahead. I will now turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Rich Hill with Morgan Stanley.
Rich Hill: Hey. Good morning, guys. I’ve said this before, but I’ll say it again. I think, your bridge to rental revenue is really best-in-class. So, thank you for that. And Mark, I really do appreciate you going through and working through all the numbers of the bad debt. It’s been a long earnings season and I think I followed it but have to unpack it a little bit more. So, if I understand you correctly, same-store NOI, including bad debt will be positive. Your peers -- many of your peers have also reported a same-store NOI number excluding bad debt. So, basically helping us understand where the core business is going without all the COVID noise. Could you maybe share any thoughts on that?
Mark Langer: Sure, Rich. Hopefully, when you saw the components that when I gave you the gross bad debt that we’re now expecting to add, to your point, it’s got about 2 to -- upside, maybe $2 million to $3 million of reversal. So, if you strip out those reversals, we still probably would tell you that our fundamental business is also positive growth. We’re obviously not putting specific parameters around it, but if you unpack the year-over-year changes, neutralize both years for the bad debt, we would be even slightly more positive.
Rich Hill: Okay. That’s helpful. And I’m sure we can just follow up offline on that. I did recognize that there was a lot of lease termination income recognized in the quarter. And I think it was excluded from same-store NOI. But, can you confirm that?
Mark Langer: I don’t think you’re referring to lease term income, Rich. I think, you’re referring to the large amount of below market amortization that we recorded. So, when you look at our supplement, we actually break down lease term fees, and bankruptcy on page six of the sup. We recorded -- are you talking about for the quarter or for the year?
Rich Hill: For the quarter.
Mark Langer: Yes. The biggest adjustment on the FFO was for the accelerated amortization of below market leases, the $33 million. That might be what you’re referring to. Yes. That not termination income. That’s the accelerated amortization for the write-offs related to the Sears, Kmart below markets.
Rich Hill: Okay. I think that makes sense. Thank you for that. I think, that’s all the questions that I have for right now. I’ll jump back in the queue if I have anything else. But, thanks again, guys.
Mark Langer: Thanks, Rich.
Operator: Our next question comes from Samir Khanal with Evercore. Please proceed with your question.
Samir Khanal: Hi. Good morning, everybody. Maybe, Jeff, just talk around the Woodmore Towne Centre acquisition. I mean, it’s a fairly large asset. Maybe it’s still a bit early, but just trying to get some initial thoughts and kind of what the long term plans may be on that asset.
Jeff Olson: Yes. I mean, we’re very excited about the opportunity there. As I said on the call, I mean, coming out of the gate, the cash returns were quite high, especially relative to the financing we were able to get, which was 10-year financing IO at about 3.4%. So, the property will yield about 11%, year one. And we think the stability behind the cash flows, namely coming from tenants like Wegmans and Costco and Best Buy will be resilient. But, maybe Chris, you can spend a minute just from your perspective from a leasing side and then also refer to the vacant land that we have and some of the opportunities we might be able to do there.
Chris Weilminster: Sure. Good morning, Samir. Very excited about Woodmore Towne Centre and that acquisition. It sits with several-thousand feet of linear visibility to I-95, 495, just south of the Route 50 exit on the Washington Beltway. It’s got over 240,000 cars per day, going by the site on 95 and another 70,000-plus off the 202 coming to the property. And as Jeff mentioned, the mix that we have there on an anchor side and that cash flow security, that cash flow is very strong. The demographics are fantastic. We’ve got high incomes, we’ve got high education. And the center was built to become the town center for the Glenarden community and the broader Prince George’s County community and it’s certainly done that. Wegmans and Costco act as a huge beacon for that draw. As far as the existing tenant mix, we see tremendous upside in improving the tenant mix over time. I think that prior ownership was not able to invest capital into improving the tenant mix there. And we certainly have seen with our relationships with the tenants, and putting some capital into those deals that we’re going to be able to really grow our average base rent base here with that property and really improve the mix. And as I’ve seen over the years, we have an asset that’s got great bumps like this one does, as you start to improve the tenant mix there, I think it’ll just come to get that, just keeps giving. There was 22 acres that we picked up, which we ascribed her basically no value to on the 22 acres. And we think we can harvest and Danielle needs to dig into this a little bit more somewhere between 12 to 14 acres for buildable area. And we are out talking right now to multiple retailers on that site. It was slated at one point in time to be part of the FBI relocation out of this -- out of Washington D.C. that all came to a halt years ago. So, it’s zone for close to 1 million square feet today of office. And we think that there’s a real bridge to transition that into retail, if and when we find the right opportunity, so really excited. This is going to be a great long-term investment for Urban Edge and one that we look forward to monetizing in ways that we still have yet to turn over the coming years.
Jeff Olson: And Samir, the only final point, I mean, it is a very solid asset today. I mean, out of all of the open air centers in the state of Maryland, this one ranks number two in terms of number of visits to the center annually. So, it’s already a dominant retail node, the second most dominant retail center in the state of Maryland.
Samir Khanal: Got it. And then, I guess, my second question is on the Kmart boxes that came back last year. There were three, you highlighted, kind of what the plans are. But Montehiedra, do you think there’s an opportunity where you start to see the income come back in later this year or is that more of a ‘23 story at this point?
Jeff Olson: It’s more of a ‘23 story. But you should see the executed leases on that space soon.
Mark Langer: Yes. Chris gave an indication, the active status that those deals should be executed, maybe as soon as Q2 or worst case Q3. So, when you get the build out and the income will hit the following year.
Operator: Our next question comes from the line of Chris Lucas with Capital One.
Chris Lucas: So, I just want to check on Sunrise. The decrease in the leased percentage, is that all related to Sears, or is there other things that are falling out at that asset?
Jeff Olson: No, there are other tenants that are falling out as well, intentionally.
Chris Lucas: Understood. Is that asset providing any contribution at all to the bottom line at this point?
Mark Langer: No, in fact, we footnoted, Chris, I know this question has come up. Sunrise, given the decline and our intention with the asset for the year, we noted on page six that there was a $3 million loss related to sunrise, which now will increase if you just take Sears alone, it’ll add another $1 million in 2022. So, given the vacate plan, which we intentionally have executed, we’ve provided that disclosure.
Chris Lucas: Okay. And then, one last question on Sunrise. You did mention that there are expected four non-renewals. Are any of those at Sunrise?
Mark Langer: No.
Chris Lucas: Okay. And then, just overall, I guess, how would you guys feel about tenant retention today versus pre-pandemic? Is it about the same, better or worse? What’s your general sense?
Jeff Olson: I’d say, it’s stronger at the moment. Because for the tenants that are remaining, they’re doing really good volumes, and they want to stay and their credit is better than it was before. Chris talked about this geofencing data earlier where our retailers are now sort of in near the top 75th percentile within their chains. So generally, they want to stay at these centers, and they are willing to pay the freight in order to stay.
Chris Lucas: Okay. And then the last question for me, just on the cash basis, tenants that dropped, obviously, you guys talked about that. Can you just remind us where that was pre-pandemic and what your expectations are sort of in terms of that -- getting to that number, in terms of timing?
Mark Langer: Well, pre-pandemic, we really didn’t have a segregated differentiation between cash and accrual. That all came about as the pandemic. But, if you look back and say, well, what were your historical collection rates in general, they were around 99% for most years. Obviously, we had volatility, as you know, Chris, when we started getting hit with some of the bankruptcies. But as a general rule, our expectation, that’s why I say, we’re kind of modeling and budgeting a bad debt level that gets us back to the pre-pandemic. I mentioned 75 to 100 basis points of gross revenue, which is pretty consistent with what we did previously. So, our view from here is that the 99% level is sustainable.
Operator: Our next question comes from the line of Paulina Rojas with Green Street.
Paulina Rojas: Good morning. Could you please remind us what drove the negative [Technical Difficulty]. Hello? Can you hear me?
Jeff Olson: Yes. Say that one more time, Paulina.
Paulina Rojas: Sorry. Can you please remind me what drove the negative re-leasing spread and cash re-leasing spreads during the quarter? Was that the core Century 21 deal?
Jeff Olson: Yes. No, we only had a very small group of leases in that same-property pool, which was only 46,000 square feet. And specifically, there was one lease in East Hanover, was actually vacant Forever 21 that had been taken for a couple of years that we backfilled. That was the most important -- that was the driver. As Chris mentioned in his opening comments, and I think sort of the most relevant point is within our pipeline of 1.3 million square feet of leases under negotiation, that rent spread is approximately 20%. I think, that puts it in context Paulina?
Operator: Her line is still connected. We might have lost her though.
Jeff Olson: All right. Let’s go to the next question, and she can dial back in.
Operator: Okay. Not a problem. Our next one comes from the line of Floris van Dijkum with Compass Point.
Floris van Dijkum: Hey. Good morning, guys. Jeff and Chris, maybe if you guys can comment a little bit on -- there’s a narrative out there that urban markets are bad, everybody is fleeing. New York is terrible, bad regime. Maybe if you guys could give a little bit of perspective on what you’re seeing in terms of not just spreads, but also in terms of rental growth. And Chris, maybe if you can talk about where you think market rents have gone in, the New York Metro area, call it over the last 6 to 12 months in your view, and where you see them trending over the next 12 months.
Jeff Olson: Yes. Floris, let me just start and I’ll turn it over to Chris. But, I hear that narrative in the investment community, we do not hear that narrative in the retail community. Retailers are not saying flee from the Northeast and go into the Sunbelt. If anything, the retailers that we work with want more locations throughout the New York Metro area. And they’re finding much less supply of vacant space because it’s being absorbed. And my prediction, I mean, you’ve seen our occupancy go up so much in the last year and a half and soon, I mean, and I said in our comments, I mean we average 98% from the periods 2015 to 2018 and we expect to get there again. So, my sense is that as these boxes fill up throughout the market, you’re going to start to see an increase in rental rates just because of the limited supply. And that should be more pronounced here than probably anywhere else in the country just because you have so many people around our properties and just few boxes of the size that our portfolio has. Chris?
Chris Weilminster: Yes. Jeff, and you mentioned it earlier, when you think about our pipeline and the fact that we’re looking at significant rent growth in that pipeline on a cash basis based on deals that we’re negotiating and LOIs and some of these and lease transactions, we are going to see growth. So, for us to answer that question, we think that we are seeing -- not think, we are actually seeing that rent growth is occurring. And as Jeff mentioned, with limited new supply coming on market, and with there being a flight to -- with there being a flight to quality, we are seeing competition amongst our retailers as well for space. So, as we start to get into our centers where we’ve got limited space available, we’re finding multiple tenants negotiating for space. I would say to you, even on a larger scale, we’ve got multiple grocers negotiating for some of our bigger boxes, as well as at Bruckner, we’ve got multiple national credit worthy tenants, very interested in that box, the old Kmart box. So, that will of course help drive rate. And certainly being in the inflationary market that we’re in as well, we’re seeing some inflation starting to happen with rent, not only in our going-in rents, but also in our rent increases. We’re finding it more consistent in our small shop spaces to get annual bumps throughout. So all-in-all, the trend is really good, not just for ‘22, but we certainly see that happening into ‘23 also. And we’re very focused on making sure that we’re driving the top rents we can for our opportunities.
Jeff Olson: And Floris, one more thing. The retailers aren’t just competing against one another for our boxes that are remaining. They’re also competing against an alternative opportunity that we have to convert that retail land into residential or industrial. And so, there are several opportunities out there, including at Bruckner, including at Yonkers, including at Bergen, where they’re competing against an alternative use, that may be -- that may create more value.
Floris van Dijkum: Chris mentioned, that’s an interesting point, actually. But I wanted to just follow-up on the fixed rent bumps, you mentioned, Chris. You’re seeing greater willingness to pay higher fixed bumps as a result of the inflationary environment. What kind of impact is that? Is that 3% of fixed bumps, or is that -- or how should people think about that?
Chris Weilminster: I think the range on this small shop tenants is going to range somewhere between 2% to 3%. Every now and then you can press it a little bit above and beyond 3. The anchor deals still tend to stack up on an increase every five years in that 10% range. But pre-COVID, I think retail is just starting to really draw the line in the sand and saying, listen, we just -- we want on the small shops, we want to lock in five-year fixed rents and have a bump every five years. So, as we look at the cadence of just embedded internal growth, we love seeing more annual increases going to just helps have an embedded growth of our NOI on an annual basis. So, we focus on that. It is something that we are definitely catching. We’re able to secure in our small shop deals, and we’re actually turning away deals that don’t have that in place, at this point.
Floris van Dijkum: And if I can have one follow-up, if you guys don’t mind. And obviously with higher rents, greater occupancy, higher NOI and solid NOI growth, that would imply that cap rates should be going down. And Jeff, maybe if you could comment on cap rates in the New York Metro market? I know that there are a couple of high profile transactions that occurred either in the Sunbelt or in California. But what do you think has happened to cap rates, particularly in the New York Metro markets? And what kind of impacts you think that has on UE side?
Jeff Olson: Yes. I mean, there haven’t been that many trades. But what we’re seeing there are actually some trades in the market, and I’m going to ask Herb to comment on this in a minute, including some portfolios of grocery anchored assets that are pricing sub 5%. So actually, I think there probably are enough trades that have either occurred or are underway that demonstrate that there’s no cap rate differential between here and some -- and what you’re seeing in the Sunbelt markets and in California, where there are billions of dollars that had traded, that are in the 4ish percent cap rate range. Herb?
Herb Eilberg: Yes. Thanks, Jeff. I think that’s right. There’s a couple of portfolios out there, which I think will substantiate sort of that 5%/sub-5% cap rate pricing for high quality, grocery anchored assets. Additionally, I think what we’re seeing is even for power centers now, there’s a renewed bid for those assets. And we’re seeing the cap rate compression there as well. I think everybody is now viewing retail, sort of the way we are which is in weather the storm. The cash flow is durable. And as a result, particularly relative to some of the other asset or the sectors out there, retail looks really good. So, we are seeing the institutional bid come back into the market, and that’s driving cap rates down.
Operator: There are no further questions in the queue. I’d like to hand the call back to management for closing remarks.
Jeff Olson: Okay, great. Well, I mean, we look forward to talking to everyone next quarter. And if you have any questions, please don’t hesitate to reach out to any of us. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.